Operator: Good morning. My name is Chrissy and I will be your conference operator today.  At this time I would like to welcome everyone to the New Jersey Resources first quarter fiscal 2010-earnings conference call.  (Operator Instructions) I would now like to turn the call over to Dennis Puma, Director of Investor Relations.
Dennis Puma: Thank you Chrissy.  Good morning everyone.  Welcome to New Jersey Resources’ first quarter fiscal 2010 conference call and webcast. I'm joined by Larry Downes, our Chairman and CEO, Glenn Lockwood, our CFO, as well as other members of our senior management team. As you know, certain statements in our news release and in today's call contain estimates and other forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. We wish to caution readers of our news release and listeners to this call that the assumptions forming the basis for forward-looking statements include many factors that are beyond NJR's ability to control or estimate precisely which could cause results to materially differ from the company's expectations. A list of these items can be found but is not limited to items in the forward-looking statements section of today's news release filed on Form 8-K, and on our 10-K filed on November 30, 2009. All these items can be found at SEC.gov. NJR does not by including this statement assume any obligation to review or revise any particular forward-looking statement referenced herein in light of future events.  I'd also like to point out that there are slides accompanying today's discussion which are available on our website. With that being said, I'd like to turn the call over to our Chairman and CEO, Larry Downes.
Laurence Downes: Thanks, Dennis.  Good morning everyone.  We appreciate you taking the time to be with us this morning.  As Dennis mentioned, I will be working through a slide presentation. So starting with Slide 2, before I discuss our performance, I’d like to remind everyone that I will be making reference to forward-looking statements.  In Slide 2 you see the factors that could affect those statements.  They’re listed here and in our 10-K and 10-Q and I would encourage you to please take a moment to review them carefully. Moving to Slide 3, I will also be referencing certain non-GAAP financial measures, namely financial earnings and financial margins, and while we believe that these metrics provide a better understanding of our performance.  They are not intended in any way to replace GAAP.  Item 7 of our annual report on Form 10-K provides a more detailed discussion and once again I would encourage you to please review that discussion carefully. With that, let me begin with the highlights of the first quarter of fiscal 2010.  We announced earnings this morning as you know.  Our net financial earnings for the quarter were $0.66 versus $0.77 last year.  As you know, we do not give quarterly guidance but we are this morning reaffirming our net financial earnings for the year in a range of $2.45 to $2.60 per share. We saw a larger contribution from New Jersey Natural Gas in our midstream assets business in the quarter. As you know, we implemented a 9.7% dividend increase that was effective January 4, 2010.  We announced last week that our share repurchase plan was being increased by 2 million shares.  Very important, our CIT was extended by the Board of Public Utilities and specifically with regard to our midstream assets, those earnings increase substantially $1.9 million versus $500,000 for the same period last year. Moving to Slide 5, you can see the net financial earnings for the quarter were $27.4 million or $0.66 per share compared with $32.5 million or $0.77 per share last year.  When you look at the numbers you can see that both New Jersey Natural Gas and our midstream business reported improved results and NJRES experienced lower earnings which I will discuss in further detail in just a little while. Moving to Slide 6 and very importantly, we reiterated our guidance for the year and we estimate net financial earnings of $2.45 to $2.60 per basic share in fiscal 2010.  Now how are we going to get there? First of all, we expect improved results from New Jersey Natural Gas reflecting the positive impact of our AIP program, our BGSS incentive program.  We’re still seeing good customer growth with particular strength in the conversion markets, and New Jersey Natural Gas’s benefiting from lower interest rates.  The improvement in our midstream assets that is coming primarily from Steckman Ridge but also Iroquois and we expect that these results will offset lower net financial earnings from NJR Energy Services.  Those results have been affected by lower volatility.  Now if we achieve this net financial earning will represent the 19th consecutive year of improved results for the company. Moving to Slide 7, and if we look more closely at our guidance, you can see in the pie chart there the range of contributions to net financial earnings that we expect from our different businesses.  The combination of New Jersey Natural Gas and our midstream investments will contribute between 65% and 80% of fiscal 2010 net financial earnings, while we expect currently that NJR Energy Services will be in a range of 20 % to 30%. Moving to Slide 8, as I noted, our strong financial profile allowed us once again to increase our dividend.  We’ve now increased the dividend 17 times in the last 15 years.  The 9.7% increase in our annual dividend rate took the annual rate to $1.36 effective earlier in January.  Now going to Slide 9, if you look at our growth rate compared with our peers, you can see that’s very strong.  One a one year basis, 9.7% versus 3.1% and over the last 5 years, 7.7% versus 3.5%. Moving to Slide 10, if we look at our payout ratio, while we’ve been able to increase the dividend at a faster rate than our peers, at the same time our payout ratio remains in the low 50% range which means that we are reinvesting a significant portion of our net financial earnings to support our future growth.  As is obvious from this chart, our record compared with our peers in terms of our earnings retention rate is very strong. Going to Slide 11, you can see that our share repurchase program, we increased that by 2 million shares.  There are now a total of 8.8 million shares authorized.  We’ve repurchased a total of 6.5 million at a split adjusted cost of $28.90.  You can see the activity going back to 1996 when we first put the plan in place.  The purchase program remains an important part.  Another tool if you will as we execute our financial strategy. Going to Slide 12, I want to move on to some of our fundamentals.  Our customer growth rate remains steady, new construction has slowed, but the commercial and conversion markets remain resilient.  You can see for the quarter we added 1.438 new customers and another 58 additional customer heat conversions.  We expect that those new customer additions will contribute approximately $700,000 of new margin to New Jersey Natural Gas each year. If we look at the pie charts you can see the breakdown between conversions and new customers, just about 50-50, again, showing the strength of the conversion market and looking at the contribution to gross margin, our residential is about two-thirds commercial, about 31%, and existing customers about 2%. But despite some of the challenges that we’ve seen in the economy, I think our customer growth rate has held up quite well. Moving to Slide 13 on the regulatory front, we were able to extend our CIP program.  That has been a very successful program not only for our shareholders but very importantly for our customers.  It was extended by the Board of Public Utilities on January 20.  It is now in place through September 30, 2013. As you know, there is alignment of this program with many of the states’ policy initiatives in the area of what we like to refer to as Environmental Stewardship.  Basically, it gives us the incentive to encourage our customers to conserve, to use less energy while protecting our gross margin from both declining usage and weather and I think the last bullet point you see there that we’ve been able to save our customer over $135 million since that program was first put in place back in 2006. On Slide 14, we continue to make progress with our accelerated infrastructure program.  You’ll recall that the AIP includes incremental capital investment of up to $70.8 million on 14 projects.  We project in fiscal 2010 capital spending under the AIP of about $44 million.  We are expecting to create up to 100 new jobs which is supporting economic development and job growth in the states and the rate recovery of the program spending is that our weighted average cost of capital is 7.76% and once again, those investments will help us continue our record of providing customers with safe, reliable service. Now turning to NJRES at Slide 15, earnings for the quarter were $2.5 million versus $9.4 million last year.  Three primary reasons:  first was lower volatility, second increased regional production and deliveries of LNG and then finally the impact of the economy on core demand.  As I said earlier, we expect that NJRES will contribute between 20% and 30% of our net financial earnings in fiscal 2010. Going to Slide 16, we continue to make progress with our midstream strategy.  Steckman Ridge is now operational and contributed $1.32 million to our first quarter net financial earnings.  We expect for the year that Steckman will provide between 2% and 6% of our net financial earnings in fiscal 2010 and as you can see from the map, the positioning of Steckman Ridge relative to not only Marcellus Shale but LNG and supply coming from the Rockies.  That has been a very successful investment working with our partner, Spectra Energy. So to summarize, in announcing our first quarter results and reiterating our guidance for fiscal 2010, I think you can see that we’re continuing our record of consistent performance as we look forward to the balance of the fiscal year.  We’ve got the fundamentals in place to increase NFE as our guidance indicates.  The combination of customer growth, AIP, and Steckman Ridge that we think supports our ability to increase dividends. We continue to maintain a strong financial profile which not only facilitates access to capital but allows us to pursue other financial strategies.  Our relationship with our regulators remains strong and when you put all of that together it supports our track record of growth and consistent results. So as always as I close, before we open for questions, I want to thank the almost 900 women and men of New Jersey Resources for their passion and their commitment to excellence.  They make these results possible and I also want to thank our investors for the confidence that has been placed in us. With that I will open it to Q&A.
Operator: (Operator Instructions) Your first question comes from Daniel Fidell - Brean Murray.
Daniel Fidell: Can you give us a little bit of color of what you’re see on the energy marketing side in January?
Glenn Lockwood: Overall the market has not been as volatile as we’ve seen in the past.  Larry mentioned from the fundamentals on the supply and demand side.  As far as January itself goes, as we factor that into the fact that we’re still expecting 20% to 30% of the earnings to come from RES for the year.  I’m sure you noticed that is slightly lower than the original guidance we gave and that basically is [inaudible], the lack of volatility.
Daniel Fidell: Maybe you could just talk a little bit about Steckman.  It looks like we’re off to a nice start with Steckman.  Can you talk a little bit about how we should be looking at the trend for earnings?  Is it mostly first and fourth quarters, a little more evenly split, and then maybe as a second question, any expansion plans you can talk about for Steckman perhaps down the road.
Glenn Lockwood: It’s way too early to talk about any expansion plans.  The engineers are analyzing how the field is operating.  It’s the first year of operations.  As we’ve talked about in the past, we still have to determine whether we need to drill additional wells or not, and again that’s an operational question that the engineers will make the call on.  As far as the seasonality if you will, there is some seasonality in that business based on the contracts we have.  You would tend to see stronger pricing in the winter as opposed to summer.
Daniel Fidell: Was there any kind of favorable benefit from the extension?  In other words, it had been a while since it had been in.  Was it trued up, was there anything beneficial that comes from that?
Laurence Downes: I’m going to ask Mark Sperduto to answer that question.  He heads our Regulatory end.
Mark Sperduto: The basic structure of the CIP remains intact and there was no – the benchmark is I think what you’re referring to.  They were updated in our last rate case.  We’re measuring off a lower benchmark that was established in our rate case going forward.  The basic structure remains the same.
Operator: Your next question comes from Joanne M. Fairechio – Capstone Investments.
Joanne M. Fairechio: Let me just follow up on the question on the CIP.  You did mention when it was extended it would allow you to I guess to more actively promote conservation. What are you seeing there?  Are customers going to see more from you in the way of conservation, what they should do to save gas, to save money, or how are you marketing that to your average customer base?
Laurence Downes: You’ve probably seen our annual report.  The Conserve to Preserve program is really the umbrella for all of our efforts, programs, and activities to encourage our customers to use less.  It really runs the gamut of programs from e-tips, just really increasing their awareness.  If you look on our website and you go to the Conserve to Preserve dashboard, customers can really see how much energy they’re using, where they’re using it, how they compare with others.  So we will not only continue those efforts but we’ll expand those because I think when we go back and look at 2006, the original program objectives, it was structured in a creative way but it was structured to benefit both customers and share owners and I think we’ve achieved that and we’re certainly going to continue to press forward with helping our customers use less energy.
Operator: Your next question comes from Heike Doerr - Janney Montgomery Scott LLC.
Heike Doerr: I wondered if we could talk a little bit about AIP and how you see spending that $44 million.  Is it going to be fairly steady over the course of the year?  How should we be thinking about that and the impact we’ll see flow through on the income statement?
Glenn Lockwood: This space, our normal construction timetables, winter versus summer, you’d see more of the spending towards the last two or three quarters of the fiscal year as opposed to the first.  The earnings related to spending does tract the level of spending so you would tend to see it increasing over the year as we would spend more money again towards the last two or three quarters of the year and until we adjust our base rates which will happen on basically the first of next fiscal year, you’re going to see the earnings in fact in our other income and we’ll disclose in the 10-Q the account called AFDC Equity which is part of other income and is reflecting the cost of capital earnings related to that spending.
Heike Doerr: I was wondering whether we were going to see that in the Q or not.  I know that the new governor has made his request as far as the appointment to the Commissioner.  I’m wondering if you have gotten a chance to meet with Mr. Solomon and if you know much about his background that you could maybe share with us.
Laurence Downes: We have not.  Judge Solomon is still completing his responsibility to the Superior Court but as everyone has seen, he has a very strong legal background.  The reaction to his appointment has been on both sides of the aisle very positive and our view is that he will do an excellent job.
Heike Doerr: And Commissioner Butler will stay on until he’s approved by the Senate?  How does that work?
Laurence Downes: That’s correct.  Commissioner Butler will stay on until Judge Solomon is approved by the Senate and we expect that will probably happen later this month.
Heike Doerr: There’s another commissioner whose term ends this spring, correct?
Laurence Downes: I believe it’s a year from March.
Operator: Your next question comes from Jim Lykins – Hilliard Lyons.
Jim Lykins: Another question about energy services.  That segment was down this quarter due to market conditions.  Guidance stayed the same.  I was just wondering if you could give us a little more color on what your assumptions are, as difficult as that quarter was, are you expecting things to improve on that front? If it looks like Q1 is not off to the best start in the world because of the lack of volatility, but just anything more that you could say related to your assumptions from energy services.
Glenn Lockwood: Again, we’re taking into account actual January activity in the current market for obviously February and the rest of the year.  If you do the math, we did adjust the business segments.  As Larry pointed out, we’re having a very strong year both utility and midstream so we upped the percentage contribution.  We expect from those segments as opposed to obviously we lowered the percentage we expect from RES.  Obviously we still expect a very profitable year given the fact that we believe 20% to 30% will come from that business segment so if you do the math, on our overall guidance is 20% to 30%, you get a good sense of the type of earnings contribution we still expect to get from RES this year.
Jim Lykins: One AIP question, was there anything spent for that program in Q1?
Glenn Lockwood: There are two or three projects ongoing.  We in fact started some of them last fiscal year, about $3 million I think we spent last year and there was a few million dollars spent in the first quarter out of that $44 million that Larry mentioned. But the majority of the $44 million will be spent in the last two or three fiscal quarters.
Operator: Your next question comes from Ryan Rosenthal – Sidoti & Company.
Ryan Rosenthal: Following up on Steckman Ridge, I was trying to get a sense of kind of how the asset matched up to our expectations for earnings thus far and also if you’re fully leased out for both the winter and summer capacity.
Glenn Lockwood: I believe again, with short term contracts, we’re fully leased for the short term here and as we pointed out in our guidance update, we did not change our midstream segment so basically both Iroquois and Steckman are right on our internal projection.
Ryan Rosenthal: There is a variance range between 2% and 6% I believe for Steckman for this year.  Can you discuss some of the variability there and what might cause it to go in either direction?
Glenn Lockwood: It is the first year of operation so from an operating efficiency perspective, cost, the fact that the revenues are somewhat determined on the ability of the operator to take advantage of the short term issues in the market so we’re very comfortable as you can see from the first quarter that we’re going to have a strong year from it but there has to be some wiggle room just based on the operational efficiency, especially in the first year of operation.
Ryan Rosenthal: Following up on that, is there then likely additional accretion potential in 2011 as you get a year under your belt for the asset?
Glenn Lockwood: We haven’t and we don’t get fiscal 2001 guidance but in general, the amount of return we get from investment ultimately comes from the types and lengths and pricing of contracts that the operator ultimately enters into, and as we’ve been very clear for this first year, it’s all short term marketer type contracts.  No long term what I would call firm attractive long term pricing yet in the field for this first fiscal year.
Ryan Rosenthal: Turning to the guidance, I noticed that’s been asked two different ways, but I’m trying to get a sense of utility operations and I believe you mentioned that they performed a little bit better than you had initially anticipated.  I was wondering kind of what factors led to the stronger than initially anticipated utility earnings thus far.
Glenn Lockwood: Again, customer growth has been right on. Our internal forecast margin has been good with the growth from customer growth.  The fact that we’ve been refunding and making credits back to customers because of lower gas prices has helped us from a bad debt expense perspective.  Larry mentioned lower short term interest rates have been very attractive for the utility and just operational cost controls in general have been as good if not better than what we internally expected.  So all of those factors are rolling into the ability to actually increase the expected earnings from the utility.
Ryan Rosenthal: One final question concerning the energy services business.  I believe some of the year-over-year decline in the earnings for that segment were due to timing.  Would you expect that would be kind of one-off in the next quarter or would that be distributed throughout the remainder of the year?
Glenn Lockwood: Again, we don’t’ give quarterly guidance.  We take the whole year into account when we give the updated guidance and as you can tell, we do expect, if you do the math, the earnings contribution to be lower than what we expected and what we’ve seen in prior years from energy services.
Operator: There are no further questions at this time.
Laurence Downes: Thank you for your time and we’ll see your next quarter.
Operator: This concludes today’s conference call.  You may now disconnect.